Jonathan Marren: Good afternoon, ladies and gentlemen. I'm joined by my colleague, Matt Harper. Matt is our Chief Commercial Officer, and I'm sat here in the capacity, of course, as Chief Executive, which is a change from the past and also holding the mantle for CFA. And we'll cover that in a minute as to how we plan to address that. Welcome, everybody. I haven't had the chance to talk to you since we put out a trading statement in early September, and that has been front and center of everybody's mind. So I think I'd like to sort of approach this interim results presentation slightly differently than we've done before and pretty much head into addressing the key issues that we raised at early September and then also, of course, that we've tried to address or shown how we're starting to dress with the interims. For those of you who are new to the story, there are a couple of slides at the beginning that will be on the website that you can read. There is also other footage talking in more generally about Invinity Energy Systems. But I prefer to use this time to go through some of the nearer term questions which people have and then make sure we've got time to answer those questions. So I'm going to move to our corporate priorities slide. And very specifically, the trading statement which we put out in September was, of course, disappointing. And I'm not going to pretend that it wasn't. I think it's right. We acknowledged that front and center. There really were two key issues that sat within that, one of which was the conversion of the commercial pipeline into orders and also more specifically, the revenue expectations for those orders both this year and next year. And then alongside that, where we were in the cycle of developing Mistral and making sure that the costs for that were at the levels that we expected. And really what we're going to address now is those two points head on so we can show you where we are. I think if we take a step back, and I was having some interesting discussions with the analysts over the weekend after we made the release, and I think it is worth putting in context that were we to be having a, say, a March year-end, I think the statement probably could have been worded slightly differently. It's worded correctly for where we are. But the reason I say that is what we're actually looking at for '24 revenues is two key projects that are within that. The first one is the Everdura project, which we announced earlier this year. That's the first full Mistral array being shipped and that's now moved from Q4 into Q1, Q1 to Q2, but also the LDES project, and I'll get Matt to talk about that in a moment. Those two projects which we'd anticipated to be in 2024 would have shifted to Q1 '25. And the reason that's important is that would have significantly moved that revenue balance. And I think it would have been a very different looking statement. And actually, if you then roll that forward to '26, if we'd had a march year-end, I think by then we're planning to be shipping in volume in early 2026 Mistral and then also hopefully have ramped that up in late Q4 2025, again that would have changed the position quite significantly. So taking a step back, whilst the numbers changes is quite stark to an extent, it is a shift, and I think putting that in context is important. And we're going to talk in a moment about where we are with Mistral. And obviously we had some good news on that front in terms of the Gamesa Electric order, which we announced with the interims. So if I can move us on to the next slide on commercial updates. Of those two key points here, clearly the deal closure we'd expected in '24 was slower than we'd expected. The first thing I want to note is that the commercial pipeline that we'd announced previously, and I've talked about on numerous iterations of these talks, remains materially unchanged. And I think I really want to emphasize that the base and the advanced pipeline, and there's no difference there. They're taking longer to close, but those deals are still there. The qualified pipeline, which is where we get up to that six gigawatt hours of storage. Again, the numbers remain the same, but there is the obvious churn that you see within that as we qualify projects out and we bring new ones into that. And actually, in reality, I would say that we're in a position whereby we are, because we don't need to chase that overall number. I think we can sort of look at some of the projects we are seeing in, and there's some significantly larger projects which would start to stalk those numbers and I think make them, give them less visibility at the moment. And what I'm keen to do with shareholders is get to the position whereby there was near term guidance over how we can hit our numbers. So that's the slide - that's the element there on revenue visibility. 2024 analyst consensus forecast is around about 5 million pounds. That comes from two projects. That's the OPALCO deal we announced and actually is within our first half numbers and then Rincon within the second half numbers, which we announced over the summer and which we will look to deliver this year. Those units are sat within our factory and we're looking to do the assembly, final acceptance testing and movement out of that factory this year. So we've got good visibility on that. We talked about the numbers that have moved from '24 to '25, the Everdura contract and LDES together that accounts for the vast majority of the '25 revenue target of 25 million, which the analysts have got there. So again, that LDES deal is not yet signed, but we've got some very good confidence that that will come through. You can see that there is visibility building towards very good coverage already of '25 before we start looking at what else is in the pipeline that we think has got a good chance of converting. But again, let's focus on the deals that are government funded and closed, and that really does build some certainty. And then there's upside from there. And with that idea, looking at 2026, the Department of Energy deals in the U.S., which we announced a year ago, and we'll talk in a moment about how we are progressing with those. That together with some other government funded deals, accounts for over half the target for 2026. Those are not yet signed. But the reason that I think we can focus on those is if you think about a risk profile, a deal which has gone through a government procurement program, where the government has looked at the technology, our partner has discounted all other technologies, has put us forward as the preferred technology of choice, gives us a significantly lower risk profile than might otherwise be the case. These things never have no risk of course, we need to close that out, but I think hopefully that shows you there's much better visibility on getting to our near term numbers, rather than a pipeline of six gigawatt hours, which is real, but hasn't - with the benefit of hindsight, given that visibility. So that's what I'll be trying to achieve now, is so that we are much more able to point in the direction we have travel. I think just before I hand over to Matt, where we've made some recent commercial progress, key markets, they remain U.K. and Europe, and it remains North America. And I'm very keen and clear when I'm talking to people that that remains the case. The new Chief Exec - I'm now based in the U.K. rather than U.S., but it is very important that we realize the U.S. remains a core market for us and we will be in a position whereby we can deliver U.S. content projects in the U.K., which will start in 2026. So I think that's a core message. But clearly the focus on the U.K. and Europe is very important. And with our new shareholder and the opportunities going on here, I think we're really well placed to deliver against that. Outside of that, Australia and Asia, that will remain our strategy to deliver that via partners. That is a really exciting part of the business and really can drive significant additional margins to us. So, Matt, if I can hand over to you to talk about some of the very recent progress we've made.
Matt Harper: Absolutely. Thank you, Jonathan. So, in line with that strategy, some of the changes that we've immediately made in sort of the commercial team is, are really around two things Jonathan mentioned, focusing in on certain core regions, and then making sure that we've got the right kind of commercial intelligence flowing into our group so that we can get - close the deals that we need to get closed. That's meant that over the last couple weeks, we've added a new Sales Director for the U.K. and Europe. This is a gentleman who has over 25 years of experience in sales in the energy industry, with leading companies like Siemens, Schneider Electric and others, and really a very deep network of contacts and a very deep understanding of how this business operates. In parallel, we've brought back into the business Vice President of Business Development, based in the U.S., with some very, very strong links in the U.S. Department of Energy, who has in the past been key to us getting the traction that we've had in the U.S. And we think that he's going to really help us accelerate those deals that we have with the U.K. - sorry, with the U.S. government, to be able to get them from the stage where they are awarded, as they are now, to the stage where they are closed, and in our manufacturing pipeline for delivery in the immediate term. And then finally, we've brought into our team a new role that we're calling our Director of Market Intelligence. This individual has over a decade of experience in energy markets, energy trading, the U.K. electricity system, and the way that batteries in particular are being deployed into those networks. And as we look to refine our commercial strategy, based on what the data we have at hand shows us about where our batteries should be being deployed, what markets we should be targeting, what customers we should be targeting, and how those targeted customers should be making best use of our batteries, we think that data driven approach is going to be very, very helpful. Those people are a part of that overall focus and that refreshed focus on accelerating deal flow. All three of those are looking to add impetus behind our existing commercial strategy. There is especially on the business development and market intelligence side, one of the things that we're spending a lot more time on is looking at where we should be - where we should be focusing directly versus where our license and royalty partners can be the ones that we are best supported outside of our core markets to make sure that we can, in places like Taiwan, places like Korea, the rest of the world, we can continue to gain traction for our product, but do so at arm's length by supporting potential customers, potential partners in the right way. And then finally, we can't emphasize enough that - the sort of the financial modeling and data driven analysis that we're going to have stand behind every one of our deals going forward.
Jonathan Marren: Just before we move on to that slide, if I can just from a - we're both fighting to move back to the right place. I don't want to sort of undersell the importance of some of those new highs. Certainly two of them have been done in the last two weeks. The Director of Market Intelligence was something you and I have been talking about for six months, something we absolutely needed. And it was something that I'd spotted over the last period of time here, that we've had two of our sales team in the U.K. working on longer relationships with clients, but really struggling to articulate to our clients what to put into their financial models from a revenue perspective. Because the U.K. and outside the U.K., there's different approaches to buying a battery in the U.K. It is very financially driven, and we've got one of the most complicated revenue stacks, I think, anywhere else in the world. And historically, our clients have only been able to take a revenue curve for a lithium battery to put that into their models. And not surprisingly, that hasn't delivered the sort of the top line revenue that's needed to justify the larger CapEx cost that comes from our batteries. And the U.K. battery market has changed over the last six months. It's moved much more to a merchant trading model. And what that means is that our clients need some assistance, and we frankly not had the ability to give that to them externally. Now, with that new hire, and also with some engaging we've been doing with external parties, we are able to prove what we've known all the way along, that a flow battery that is put in Scotland will earn significantly more revenue than one, than a flow battery that's put in south of England, and significantly more than a lithium battery. So that's only with a certain use case and also enables us to make sure that we can target our sales efforts rather than being just focused on a well, they've asked for a battery, let's try and sell them a battery. Firstly, why do you want one of our batteries? And why don't you want a lithium battery? And if you want a lithium battery, then frankly that's the right way to go. But someone who needs to cycle twice a day, someone that has planning issues, someone that's concerned with the fire risk, I think ours is a very good product and we can prove to them what to put at their top line and then the rest of the numbers are made and I think that will really enhance our sales message.
Matt Harper: Totally agreed. Good. We'll look, we're doing it again. Just moving on to some of the key projects that we had announced and are working towards contracting for. Again these are - both LDES in the U.K. and with the DOE in the U.S. These are projects where Invinity has been awarded funding alongside our partners to go and build a handful of pioneering projects, and where we are in the project development phase, working on site development, working on contracting, and getting ready to announce those as soon as those activities are largely complete. On the LDES project in U.K., I think we've announced previously that we are in discussions to do this project with a major international renewable energy developer. Those discussions are progressing strongly. There are agreements between us and the funding party, the funding entity DESNZ, between us and the developers themselves that need to be finalized before we can sign both of those. And those negotiations are at a - I would say a very advanced stage right now. In the U.S. you'll recall that we announced about a year ago a collection of six projects funded by the U.S. Department of Energy, the first one being a long duration demonstrator with the Pacific Northwest National Labs. That's a 12 megawatt Mistral array that will serve as a platform for not only testing the technology, but really for testing how long duration storage can more broadly serve the North American grid. PNNL is one of the DOE's leading research parties about on really the optimization of how different assets function within the grid system. And so they, of all the national labs are going to be very helpful to us in terms of not only proving the technology does what it's supposed to, but proving the future capabilities it's going to be able to deliver. Alongside those projects you will have seen in our announcement of just a few days ago. You know, we did - we are shipping our first Mistral product to our partners at Gamesa Electric. They've got a demonstration facility at a place called La Plana, which is a - where they've been testing their emerging and advanced wind and solar project and product capabilities for a long period of time. This is a test site that any new - lot of the new products into their commercial suite are tested to make sure that they're going to have the right kind of capabilities for when they actually get deployed on the electric grid. This will be our first shipment to a customer site. So, we're very excited to get this delivered out of our factory. And this has the full focus of both our and the Gamesa team. And we expect that, after shipping this product, which we expect to be before the end of this year, it will be operational within Q1, and we'll start to paint a pathway for how Gamesa and our partners together can offer this product on a commercial basis much more broadly. Jonathan, over to you, maybe on the product and production, and then I'll turn the [indiscernible].
Jonathan Marren: Of course. And just before, again, it's reassuring to us to be able to mention Gamesa Electric's name in our announcement. I think that they are aware of where the program is. In my new role, I've met with them already, spent some considerable time with them, and delighted that we've been able to name them as where the first demonstration unit is going. I think the other point to notice is that this is the first time that our battery will have been connected, really to a wind asset. Whilst that might sound a strange thing, the reason being is that most turbines come in the megawatts of power, and therefore, to put the size of flow batteries that hitherto we put out has been difficult to do. We've always known our flow battery can connect to wind, but actually to be able to show that is actually happening in this area, because the way it's set up is really exciting. So there's plenty of points within this that is quite a meaningful announcement and delighted to be in a position that we can talk about that. On this slide here, there's a diagram showing performance, time and cost. And when you are doing some product development, you can't have all three of these together. You can only have two of the three, be that performance, be that time or cost. And what's the decision that I think is rightly being made is to focus on the performance and time rather than that cost angle. And again, if I look at this, we've needed, and we need to be able to tell our customers that the performance of the unit in beta testing is exactly where we think it is, if not better. We need to show, we need to be able to prove that it works. And timeliness is really important within that, because there is a race to get this to market. But why does that mean cost can't necessarily follow at the same time? Well, again, if you think to test that performance, you have to have every single component in that box ready to go. And in simplest terms, if you've got a bit of piping to go from A to B, if your engineer says, look, give me three months, I can engineer a significant amount of cost out of this, or perhaps I can even actually find a way of not needing that pipe at all. But I need three months. The question is, do you wait three months? Or do you say, I need that pipe so I can turn it on and prove the system works? And that's the decision that has been made, so that we can prove the performance and time. And in the trade shows that we've been at over the last couple of weeks, it's been really important to be able to talk about those performance metrics. Now the question is, how do we go back and drive that cost out? Well, there are plenty of very obvious things that we can look at and are doing. So, for instance, at the moment, the first, the demonstration units are being manufactured in North America, in Vancouver. That's the steel, that's the tanks. That comes with significant greater cost. The moment the electrolyte is shipped in from abroad, that comes with extra tolling and duty costs. The moment you move that back to Baozhou in China, those costs collapse back down. There is a bit of - just to give you another example, there's a bit of steel enclosure that sits around a bit of control equipment from Gamesa that is significantly overspread. It's about $18,000 worth of cost. The moment that moves to China, that drops to about $1,800. And actually, when you look at some engineering on that, we probably don't need it at all. We can probably take the vast majority of that cost out. So at the moment, there are quite a few aspects, such as that, where some iteration on that point can move that down. And the other aspect is that until we're in the position that we are shipping in volume, you don't get the volume enhancements that come with that. So that's the journey we are on. I'll let Matt talk about some of the specifics on this, because, again, I think I'm keen that shareholders don't think that we are not alive to some of the issues that have happened in the past. Matt's background, if I could talk for you, Matt, if you'll forgive me, comes from Avalon. It comes from product development. There's no one better within our business who understands A) how this product needs to work and how it can be developed. So I think Matt has understandably been focused on the commercial side. Coming in as Chief Exec - I wanted Matt to also take an oversight of this area. I think it's the right time to do that because no one knows better than Matt the importance of getting the cost down to focus on the market opportunity that's ahead of us. He's been in there with his pencil and ruler before, working out exactly how you do that. And rather than possibly me just saying you need to drive another 10% of cost out, Matt will come up with the very ideas as to how to do that. So I haven't embarrassed you, Matt, but go ahead.
Matt Harper: No, thanks Jonathan. I'm going to get my engineer's slide rule and start to calculate some things. No, look, every company that I've ever seen be wildly successful in this space has had an absolutely ruthless and absolutely relentless focused on cost reduction. For any of you who have read Walter Isaacson's excellent biography of Elon Musk, and one of the things that he talks a lot about is Tesla's approach to cost reduction, which is to take material out until it breaks and then add back in 10%. And that is everything from the chassis in a Model Y to the individual screws that hold door panels together. It is an obsessive and relentless focus that you need to have if you're going to have a product that is going to compete in the global marketplace. To us that flows through, largely the four bullets on this slide. Obviously decreasing parts count and simplifying the way that things go together, simplifying the number of connections between individual components is absolutely critical. Jonathan talked a little bit about the second point, transitioning component supply to best cost regions. Given the world that we are in today with tariffs and sort of overlapping geopolitical concerns, that's not just trying to find the person who can build it most cheaply anymore. We are spending a lot of time looking at the intersection between product cost and tariffs into some of our key, our core markets and trying to pick the best and most optimal solution given those overlapping requirements. High volume production methods, obviously, I mean, as we go from the individual prototypes that we already have, operational to the dozens to small hundreds of what we call pilot units, which will be the first ones to go out to customers like Gamesa, like Everdura, like PNNL, and prove that the product is doing what it needs to do. Those pilot units are a stepping stone from the sort of the bespoke manufacturing methods for individual components to the much higher volume things where you are in the first stage, machining - custom machining, individual components, and by the time you've got a fully evolved production methodology, you are injection molding those things by the thousands. That transition is something that we need to go through. And then finally, we've talked in the past and are now actively implementing automation to enhance quality. I'm sure many of you will have seen the videos that some of our competitors, especially those in the U.S., have up on their websites of factories filled with beautiful robots, totally assembling product in a totally automated manner. We don't believe that that fully automated approach is the right one. Having with all of the time in motion studies that we've done on this product and the assembly of it. The conclusion we've come to is that having humans in the loop in that manufacturing process is the right thing to do. But what we need to do is we need to have automation that makes sure that we're getting the best work, the most effective work out of those people who are putting things together and making sure that the automation supports the quality control that we need to have in order to not only get the customers, our customers the product that they want, but make sure that any subsequent costs, either of quality control in the factory or quality control and replacements in the field, are absolutely as optimized they can be. So once we get the cost right, there's a question of how are we going to get as many of these products out into the field as possible. And I won't talk about this in detail, because the strategy in itself is not new, but just to refresh that, we are continuing to push on direct sales in North America and the U.K. Having that full manufacturing and sales operation allows us to maximize the margin to Invinity on individual sales. The willingness to pay that a customer has in a particular jurisdiction is going to be largely similar to the degree that we can transact for that business directly. The higher margins should be accessible. There are incremental costs on that direct commercial engagement, engagement with regulatory processes, and those are, in our view, very much offset by those higher margins. So therefore worth chasing in those core markets. Outside of those core markets, we have what we are calling our license and royalty model where we want to be able to expand the reach that our product has on a global basis, but at the same time not spending the additional capital cost to build new factories, not spending an additional headcount cost to resource some of these sales in different countries, and overall making sure that we're working with partners to get our products out into the right place without doing that work directly. It is worth noting we continue to plan, we're planning to continue building our stacks in house. Our core technology, including some of the core electrochemistry, including a lot of the core sort of operation of the battery, is embodied in our control systems. That is highly sensitive intellectual property that we always intend to retain a very, very tight control on ourselves and in-house. Jonathan, anything you'd add to that?
Jonathan Marren: No, other than to say that this bit really does excite me because we have the ability to chase higher margin business with our partners doing the work and for a very low sort of CapEx and OpEx requirement from us. So that's how we're going to drive significant added value from that. And our key partner in this is Everdura and Everbrite. And they and I are already talking at length as to how we can accelerate that forward and I've reiterated to them that they are a key partner of those. So we're going to come on to our 12 month priorities. But just before we do that, I just want to flip back to the commercial side for a moment here. So the bottom right hand corner there was our standard solar and storage live in Birmingham last week. Now that is the U.K. trade show for storage and solar projects in the U.K. That was twice the footprint of the site last year. That in itself is an indication that this is an industry that is growing in the U.K. And that's normally how you can tell whether a sector is doing is what size and footfall that are going in within there. We had a team of probably eight or nine of ours on the commercial side on that, probably more than we have last year. And I thought initially we might have overstacked it. You'll see there, that's what these stand look like pretty much the entirety of the way through those three days. We were absolutely inundated. And when I look at why that was the case, there are pictures on the back wall, not of rendered images of our products, but we've got the product operating in Oxford, it's operating in Australia, it's operating in Canada, it's just been delivered to the U.S., and we can put - we can talk to live projects, and no one's asking us whether the technology works. They're interested in what its use case is, what its cost is, and when we can deliver it. And that is again, sort of a change in iteration on what we've had before. I think one of the significant reasons we've got such interest in us is that we are anticipating relatively soon that there will be a further announcement on the cap and floor regime in the U.K. I think we've talked about that before, and I'm sure some of you on the call are aware of this. This is the U.K. government's approach. Two, supporting long duration storage. The consultation was for non-lithium storage, so lithium was excluded and it was for six hours plus. So again, a difficult, very difficult market for lithium to address. It was set at 50 megawatt as a minimum. So that's a 300 megawatt hour size project. And above that is very significant. There's been a lot of petitioning for that to be dropped, and I'm sure it will be, but even so these are going to be large projects. If you look at why our partner on LDES is interested in working with us, it's for really the key reason that they're looking ahead at that. They want to understand from operating, how a long duration - battery operates on the grid, so that they can really understand what goes into that top line revenue number. And that they can build a relationship with us that, they can be front and center of the support mechanism for that. We had other customers coming to us saying, look, I've got one project I want to talk to you about. That is more than your capacity in Motherwell alone. Now, I don't want to get excited about that, because that is a number of years down the line. That's not going to impact our numbers for '24, '25 and probably '26. But there is a huge amount of interest growing in this, and I think we are confident with the level types of discussions going on, that we are in the right place in the right market, with the right product. So our job is to really focus on getting that cost down, and in the interim period, not getting too excited, and focusing on delivering our revenue numbers for '24, '25 and building into '26. So we build that credibility back, exactly the same in the top corner that was RE+ and in California that's the U.S. version of trade. Significantly, significantly bigger than the U.K. And Matt, you were at that. I don't have any comments on from RE+.
Matt Harper: No. Look, I mean, it's one of the - I mean, there are three utterly massive trade shows globally every year in this space. One is interstellar Munich. One is there's a show in Shanghai that happens every year and then RE+, which alternates between Anaheim and Las Vegas, because those are the only two places in the U.S. big enough to host it, is the third one, tremendous amount of footfall through our booth. We had something like 140 new leads come in over the course of that three-day period. Just an enormous amount of interest in what we're doing and really emphasizing, not only on a U.S. scale, but on a global scale, the interest in and potential for what it is we are building.
Jonathan Marren: Perfect. Thank you, Matt. So, in terms of that U.K. angle, one of the reasons why I think people wanted to talk to us, is that when we looked around that trade show, we talked about being the Bloomberg New Energy Finances only Tier 1 battery manufacturer, based and - for non-lithium and based in the U.K. And when you're looking at that cap and floor regime and an overplay the thesis behind GB Energy, which is all about supporting jobs in industrial heartlands. And if you have ever been to the central belt between Glasgow and Edinburgh, you'll understand that both Bathgate and Motherwell sit very firmly within that. It's about supporting U.K. jobs, U.K. supply chain, and that route to Net Zero requires battery storage, and energy storage on the grid. Everything that we are talking about is absolutely in line with the regulatory environment moving in the U.K. It's also very helpful being based in Scotland. And we've had a number of Ministers from the Scottish Government come and visit us. It's interesting to note they are working hand in glove almost with the labor administration down in Westminster, much more so - than in the past. And we've had various exchanges, letters between us and the Scottish government about, what sort of support we would find useful. They've been sending that down to Westminster. So, the level of engagement we are now having on the policy front, as well as, of course, our investor being UKIB, can only help those matters, of course, and is very significant. So compared with this time last year, there is a significant win behind us. And therefore it's really right that we sort of highlight how British we are. So that made in Britain badge is something, which we managed to achieve. And I think it was just last week that will go on. All of our batteries, they're little things, but it really does matter when you've got sort of the policy behind pushing U.K. jobs. So we're really, really excited about that. And I think we've talked about the Motherwell facility, and the fact that that is now operational. And the investment in the semi-automated stack line is a big step forward from us, from improving quality and improving throughput in that factory. So if I can just talk about those corporate priorities, these are, I wanted to make sure we'd set out and we're clear with investors and stakeholders, what we were looking to achieve. So first and foremost, it has to be about hitting the revenue numbers and the forecast in the market. So shipping the remaining VS3 orders for this year is task number one. And every senior management meeting I have, that is the first item on the agenda. Where are we with that project? When is it shipping? Any issues? How can we address them? Launching the Mistral product for general sale before the end of the year. This is, I think, a very important messaging point. This is within our control. It requires us to name the product, have a spec sheet and published on our website, and have the sales desk talking openly about it. Those are within our gift. But I think it is an important message to the market. The product is ready to go, and that's something that we will be doing this year. The commercial pipeline, as I said before, that pipeline is still there, but we need to focus on the deals that are closer to being capable of being delivered in that '24, '25, and then '26, time horizon. And it's very easy to get excited by some enormous deals that sit outside of that. But we need to make sure that we can walk before we run. And I think, maybe if we look at ourselves, we probably have been focused too much on the wider opportunity, and not some of the nearer baby steps we need to take. And that's something, which I'm absolutely firm with the team that we need to make sure - we don't do again. The cost down approach, absolutely front and center of what we're trying to achieve. Our partner in Gamesa Electric is very clear with us. They can see how we can iterate the cost down. It's exactly the same thing that happened in the wind turbine business. And they said you would not believe the amount of cost that has been taken out over the last 10 to 15 years in those turbines. It's - almost beyond belief and there's no reason why, with a modular product that is built in a factory where you get the benefits of volume and repetition, that you can't do that. And if we can achieve that, the opportunity, it really is very substantial for us. And then the bottom bullet point, that's the CFO part of me still coming out. We need to be absolutely clear that we are as ruthless as possible when it comes to costs, to make sure that we have an efficient business, and we're not going to lose sight of that. So this is an interim results presentation, and I will just very briefly touch on those financial numbers. There was a small amount of revenue. We always forecast the first half, sorry, this year would be second half weighted. That is, the delivery of the OPALCO projects into the U.S in the first half, we closed four megawatt hours of sales. That was the Rincon project. And we've actually manufactured more modules of that, because that covers both. In the first half, we've actually manufactured the Rincon modules ready to deliver. So again, why we have confidence in that second half numbers, because those modules are there waiting for the final assembly and factory acceptance, testing, and then shipping. From a cash position, we reported £49.2 million of cash, the clearly backed and helped by the fundraising in May. And we'd given some guidance at the trading statement early in the period, about where we sat from a cash position and that has not changed. And then post the period end, we've just announced that 1.2 megawatt hour Mistral order for that hybrid system with Gamesa Electric. And of course, there have been some management changes. So I think that's probably enough to talk about on the numbers there. And I think probably wise, that we move to questions and try and answer as many, many as we can do.
Operator: Perfect. Jonathan, Matt, thank you very much for your presentation. Ladies and gentlemen, please do continue to submit your questions. You can do that just by using the Q&A tab, which is situated on the top right hand corner of your screen. Just for the company, take a few moments to read the questions that have been submitted today. I'd like to remind you the recording of this presentation, along with a copy of the slides and the published Q&A can be accessed via your Investor dashboard. As you can see, we have received a number of questions, both pre-submitted and throughout today's presentation. And Jonathan, if I could hand over to share the Q&A that'd be great. And then I'll pick up from you at the end.
Jonathan Marren: Yes, of course. So I will paraphrase the questions, and I might just hand someone over to Matt to answer, if that's okay Matt. So, firstly, how confident are we on the cap and floor mechanism being finalized? And if it fails, what's the backup plan for the ring fence funds with the UKIB? From the discussions that we are hearing, both publicly and privately via the various sources, we are highly confident that it will be finalized. The question will be, will the mechanism be set at the right price points? We believe so. There is a loss of engagement with industry, with the various partners to make sure that is the case, and this is absolutely crucial. So, yes, I think we have lots of confidence there that £18 million of funding, however, doesn't have to be just used for Mistral projects. It can also be applicable for the VS3 projects. But what I would say is, if you think a 300 megawatt hour project for cap and floor is, without giving any pricing, well north of £100 million of revenue, £18 million of funding isn't really going to make a difference there. So actually, that money is really intended for smaller projects than cap and floor, such that those projects fight sort of - pave the way for larger cap and floor projects. As we've said, we know which parts of the U.K., now make sense from a location perspective. And just within that, we had a number of very interesting discussions in Birmingham, and we are seeing people come to us who have tried lithium. And for their use case it hasn't worked, within a year and a half, in one example, that lithium hasn't worked, they're looking to take it out. They will not put lithium on back again. They're thinking of handing back their grid connection, or looking for an alternative, and realize we are that alternative. A project such as that would be absolutely ideal to put UKIB money into. So having that, I'd say you care about money that came into us. So I think that is a really exciting first that type of sort of project could be. It may well be a different one we first gave for, but that sort of idea is there. Matt, we've got a number of questions on sort of where we are with cost, and when we first come out with Mistral. And on the commercial side, I'd always far prefer to leave those questions to you, if that's okay.
Matt Harper: Sure. Well, look, yes, like you say, there's a number that are also touching on the same sort of thing. There's a question, can Mistral built and sold at a profitable margin? The answer is yes, but not within the breadth of market that we ultimately want to be able, to address profitably. For example, we've got a project that is evolving, moving fairly quickly through our pipeline, where one of the stipulations is that the product needs to have a 30-year lifetime. That, in effect, removes any lithium ion batteries from competition, and makes us front and center as one of the solutions for that project. That doesn't mean that the size of the market, or the size of the market for projects like that is fairly narrow. And so, while there are opportunities where we believe we will be able to sell Mistral profitably, at the costs and margin that we are able to achieve today. In order to hit the very, very large sort of middle of where we see the longer duration storage market evolving to projects that total not in the hundreds of megawatt hours, but single-digits to tens of gigawatt hours and beyond on aggregate, that is going to mean that we need to continue to push on that cost reduction, that cost reduction pathway over time.
Jonathan Marren: Matt, if I can also add, I'm stealing some of what I heard a couple of weeks ago from our partner. Again, if you look at where the cost came out of the wind turbine business, and as I say, over ten years, there were incremental improvements, and that will continue throughout, continues with every single product. So we are not unique in that. What was interesting from a wind turbine perspective is in the early years, the sales were supported by some level of governmental support. Now, where is that coming from in this business? Well, we've talked about that already. We've talked about LDES. We've talked about the U.S. And we've talked about the DOE program. We've talked about the cap and floor regime. We have exactly that sort of support mechanism that was effectively put in place to win, to drive those turbine prices down. What I am absolutely adamant of is we need to make sure that we don't get into discussions with customers, where there is a sort of a straight shooting match against lithium. That is not somewhere where at the moment, if there is cheap lithium, we do not want to be competing against that. We have scarce resources. We need to be focused elsewhere. So it is incremental reduction in cost. And our partner's view is that that is where they are focused on, and they've got every belief we can get there. And for them, that opportunity is simply enormous, once we achieve that. In the earlier years, we are going to have to be more careful against who we are competing against. But that's why we've got some pretty now conservative forecasts that, we can then hit those with demonstrable products that we know - projects that we know are there. And then the upside comes from over delivery against that, towards the further cost coming out, and there's much larger projects. And so, one of the questions was, in relation to the LDES project, that being significant grants based cash injection, that is factored into our forecasts. So the LDES project is matched funding. So effectively, DESNZ match funds what comes in from our partner, and that provides us with the capital to deliver that project. It does come with a gross margin, but it's not sort of incremental on top of our other costs. So that is important to us, but we're not relying on that to provide significant cash flow to the business. So - do we have any agreed partnerships with vanadium producers to fix our costs whilst the price of the material is low? We haven't really talked much about vanadium in this, but that's not because it's not important to us in the short to medium term. And also as we move sort of further out from that, developing partnerships is crucial. I've had at least two discussions over the last two days with potential vanadium electrolyte producers, about how we can partner with them to de-risk, where vanadium pricing is going, that's one aspect. The other aspect is we are putting significant R&D into - our batteries, as to whether we can take different levels of impurities or different, effectively different quality electrolytes. So that can reduce cost out, because if you can have a homogenous product across our competitors, that will just overall lower the cost. The other part of the R&D, very importantly on the electrolyte side, is to see where you can get more capacity out of the battery. Because there are two ways of lowering cost. What we're actually interested in, or someone's interested in, is a cost per kilowatt hour. And that comes from either reducing the numerator, the actual capital cost, or the denominator, what that battery can achieve. And actually the simplest way of reducing cost, is to have a larger denominator. So there are a number of different projects there. So there are really three strands to that. But absolutely, having a partnership with someone on the vanadium electrolyte side is going to be really important to us. So - has some of the well-publicized problems with Gamesa caused problems with their view on Mistral? The problems haven't been with Gamesa, just to be clear. And I think - Siemens Energy and Siemens - Gamesa renewable energy, which sits above that, have had the problems with their turbine business. Gamesa Electric remains a very strong partner and a very profitable part of that group. So they are very keen to make sure that this project continues along its timeline and keeps focusing on the cost targets.
Operator: Jonathan, there was a question about intellectual property that I thought might be of interest to the group. You want me to jump in on that one?
Matt Harper: Yes, please. Yes, sure. So the question is talking about intellectual property protection and how we do it. I mentioned earlier our strategy of always manufacturing our core components in-house and only turning over to our partners sort of the balance of system, the less sophisticated stuff that goes around that core technology in order to make it work. In terms of how we protect that inside that core technology itself, we've got a combination of both trade secrets and patents. One of the reasons that we manufacture all those components in-house is, because even the components that we put into our battery, in terms of the electrolyte, in terms of the cell stacks, which the charge and discharge reaction takes place. Those sources of supply are highly proprietary and I would say materially different from what some of our competitors do. So the reason that we only ever do that manufacturing in-house is so that we retain very, very tight control over those sources of supply, over those components, over how they go together, over how we test them before they go out into the field. Similarly, a lot of our intellectual property is on the operation of the battery. How do we make sure the batteries going to operate, not only sort of the first time you put it together, but an entire array of those batteries are going to operate in concert, with one another over the decades worth of service that, they are intended to be in the field for. The software and controls that stem behind all of that work, are something that never leaves our factory. No one outside of our company ever has a view into that. All of that code is compiled and installed onto our controllers, before it ever leaves our shop. And so together, that combination of, formal intellectual property in terms of patenting, trade secrets, in terms of how we put these various products, pieces of the product together. And then the sort of level of control we keep on the software controls that go into the battery together, we think give us a very, very tightly defensible position.
Jonathan Marren: Thanks, Matt. There's another question I'm going to hand back to you as to. There was an assertion that the U.S. projects were conspicuously absent from the pipeline, and that is not correct. So I'm going to allow you to give the correct version of that?
Matt Harper: Yes, I saw that as well. And if the person who asked the question would be happy to reach out to us, I'd be happy to sort of discuss and engage, because I would say that within our pipeline, we see a tremendous amount of interest out of the U.S., and especially with the degree to which utilities across the U.S. have a mandate to go and spend in preparation for the much wider rollout of longer duration storage technologies over the next decade. The amount of interest that we have out of the U.S. has ticked up very significantly. So I would say that it's very much within the pipeline, and would be happy to answer some further questions offline, if helpful.
Jonathan Marren: Okay, question on has change been incorporated to ensure more accurate forecasting timelines and revenue? That was asked about half an hour ago? I'm hopeful that the rhetoric that's been said since then has confirmed that is the case. We have to rebuild investor confidence, and that investor confidence comes from delivering against those forecasts. That's why we have decided not to republish that pipeline that we've talked about before. Because what I wanted to do, was try and give some better visibility and better obvious guidance, on how we were going to deliver against those forecasts. The pipeline remains exciting, exactly as we expected it to be. But what I wanted to do was not get people focusing on that six gigawatt hours that is there, but actually focus on the nearer term. So yes, that was very much my area of focus. And as I say, we've got a management meeting in an hour's time and we've got a drop off on the hour, to speak to staff. Every single meeting now starts off with those - five corporate priorities, of which the first one is delivering against certainly this year's numbers and next year's numbers. So, yes, absolutely.
Matt Harper: Perhaps just as an add on to one of the other comments, Jonathan, on the U.S. pipeline, perhaps worth noting, there was a question around some of our broader market opportunities, especially in the Middle East and Saudi Arabia in particular. And then also in Australia, we do - we see those markets as ones that are evolving very quickly. Certainly in Saudi Arabia, there's been a lot of talk about the role that storage is having as they continue to generate more and more of their power from renewables. Basically protecting the ability to take their conventional energy sources and export them. Similarly, in Australia. Australia has one of the highest rates of renewable generation in the world. And so as they move through - to a higher and higher percentage of that energy coming from variable sources, they need to move beyond the lithium batteries that have served their grid well, to batteries that are going to be able to regulate that renewable power on a 24/7 basis. In all of those regions, we are expecting to work through some of the existing and emerging partnerships that we have in those countries. We've had a great partnership with the team at Yadlamalka Energy for our project in Australia. We're contemplating more projects, more projects with them. Certainly in the Middle East, it is a market where you want to have a very strong and capable partnership that has, good economic connections and good governmental connections. Again, we've got some very encouraging conversations taking place, but nothing that is elevated to the level of what we would be announcing formally.
Jonathan Marren: I know we're coming up against time, and I've just been prompted by the organizers. There's two further questions. I think that. Well, there's a number of questions, but two I wanted to make sure we've answered one with competitive landscape, another just a question on Larry. I think it might be all right we answered both of those two questions? Competitive landscape. The competitive landscape, I am clear, is lithium. And the reason I say that is that, I am confident that there is enough room in the market for all of the long duration storage plays that are developing. And I think all of us need to work together to try and make sure that, we are in a position that we can compete against lithium. And we believe we will be able to get there, but we will get there faster if we can collaborate with each other. So I think again, if there can be something which our business seem to be doing, it is to be collaborating with our partners and not to be concerned by the competition. You need to be aware and cognizant of where they are, very importantly. But I do believe we've got a very good position, and we will all be better off if we collaborate together. So that's the first point. The second really was, can we discuss the update in September and why Larry resigned? And I think it is right to thank Larry for all of his efforts over the past four years, and certainly belong beyond with Avalon. We wouldn't be where we are today. The announcement in September, I start off by saying, was disappointing. That companies have to get into positions where, from a regulatory perspective, those announcements need to be made. I think Larry had, having worked for those number of years, decided that was the best time for him to step aside. I think it would have been difficult for him to continue having discussions with institutional and other shareholders. So I think, he probably sort of chose that as the right time to mark his exit. There are never necessarily good times in these situations, but I think that made a lot of sense. It has enabled us to focus on addressing some of the concerns, and do that with a sort of slightly fresh light. And I think - the business will be better off for it. But obviously, we wish Larry all the best.
Operator: Perfect. Jonathan, Matt, I might just jump in there. Thank you very much for answering all of those questions for investors. Of course, the company can review all the questions submitted today and we will publish those responses on the Invinity company platform. Just before redirecting investors provide you with their feedback. Is particularly important to you both. Jonathan, could I just ask you for a few closing comments?
Jonathan Marren: Yes, of course. Well, thank you everybody, for your time and also your patience with us. We are conscious that we need to work hard to improve the share price, that all investors have lost money. And I am one of those having sort of looking at a substantially negative position. I am financially driven to make sure that this improves, but also morally driven to do that as well. So, I can assure you that we are doing our best to do that. The opportunity, I believe, and I'm told by others, is enormous, if we can get there. And the path to do that, there will be bumps along the road. But I think if we can set some cautious expectations to deliver against us, and start to build that momentum. We'll be in a very good place, when we start to share signs, we can achieve that. So again, thank you very much, everybody, and look forward to speaking again soon.
Operator: Thank you both once again for updating investors today. Could I please ask investors not to close this session? As you know, we automatically redirected, to provide your feedback in order that the management team can better understand your views and expectations. This will only take a few moments to complete, but I'm sure it'll be greatly valued by the company. On behalf of the management team of Invinity Energy Systems PLC, we'd like to thank you for attending today's presentation, and good afternoon to you all.